Operator: Welcome to Teekay Corporation's Second Quarter 2021 Earnings Results Conference Call. During the call, all participants will be in a listen-only mode. Afterwards, you'll be invited to participate in a question-and-answer session. [Operator Instructions] As a reminder, this call is being recorded. Now, for opening remarks and introductions, I would like to turn the call over to the company. Please go ahead.
Ryan Hamilton: Before we begin, I'd like to direct all participants to our website, www.teekay.com, where you'll find a copy of the second quarter of 2021 earnings presentation. Teekay's President and CEO, Kenneth Hvid; and Teekay's CFO, Vince Lok will review this presentation during today's conference call. Please allow me to remind you that our discussion today contains forward-looking statements. Actual results may differ materially from results projected by those forward-looking statements. Additional information concerning factors that could cause actual results to materially differ from those in the forward-looking statements is contained in the first quarter of 2021 earnings release and earnings presentation available on our website. I'll now turn the call over to Vince to begin.
Vince Lok: Thanks, Ryan. And good morning, everyone. And thank you for joining us today for Teekay Corporation's second quarter 2021 earnings conference call. Before I hand the call over to Kenneth, I will briefly review our financial results for the quarter. Starting with our recent highlights on Slide 3 of the presentation. In the second quarter, we reported a small consolidated adjusted profit of $30,000, down from $11 million or $0.11 per share in the prior quarter. We also generated total adjusted EBITDA of $172 million, down from $202 million in the previous quarter. We reported another strong quarter in our gas business. However compared to Q1, our tanker business results were weaker due to lower spot tanker rates and the expiration of certain fixed rate time charters that were secured during last year's strong tanker market. Our second quarter results also reflected a higher than normal number of scheduled drydockings in both our gas and tanker businesses. Looking ahead, we are expecting our third quarter results to be lower than the second quarter, mainly due to weaker spot tanker rates and another heavy drydock schedule for both our gas and tanker fleets. However, we are expecting our fourth quarter results to be stronger due to a lighter drydocking schedule and the anticipation of a stronger spot tanker market, especially during the winter months. For guidance on our third quarter results, please refer to the appendix of this presentation. In May, we reached a major milestone towards our strategic objective of winding down our FPSO segment, including fulfilling our remaining obligations relating to the Banff field which resulted in a $33 million gain from the reversal of our associated asset retirement obligation in the second quarter. Kenneth will discuss this in more detail on the next slide. Lastly, despite the lower earnings, the Teekay Group has maintained a strong financial position with total consolidated liquidity of over $800 million at the end of the quarter. With that, I will turn the call over to Kenneth.
Kenneth Hvid: Thank you, Vince. And good morning, everyone. Turning to Slide 4, as Vince just mentioned, we have reached a major milestone in winding down our FPSO segment. I'll touch briefly on some of the updates since our conference call last quarter. The Banff FPSO ownership was safely handled over to the mass recycling yard in Denmark on May 11, where it is in the process of being recycled in accordance with the EU Ship Recycling Regulation. And in late-May we completed all our remaining conditions precedent on our decommissioning agreement was CNR, whereby the customer took on our remaining Phase 2 decommissioning responsibilities on the Banff field. This should enable CNR to complete our Phase 2 work in conjunction with our other decommissioning work at Banff field in a more efficient manner. This agreement eliminates our remaining exposure to the field. And as a result, we have reversed our Asset Retirement obligation liability by $33 million during the second quarter. During the quarter we incurred approximately $5 million of costs relating to the Banff FPSO associated with towards cost to the mass shipyard and payments to the recycling yard. And we're not expecting any material remaining costs for this unit in the future. As previously announced, the Foinaven FPSO which is only earning a nominal day rate is expected to be redelivered to us next year as a result of BP's recent position to suspend production on the Foinaven field. We now expect the unit to be re delivered to us in the third quarter of 2022 rather than in the second quarter. Following the re delivery we plan to green recycle the unit with the associated costs expected to be covered by a fixed contractual lump sum payment from the customer. As a result of this, we have now largely eliminated our remaining exposure to both the Banff and Foinaven FPSOs. The Hummingbird FPSO continues to produce on the Chestnut field with steady oil production and high uptime. And given the continued strength in oil prices, we now expect the unit will continue operating on this field into next year. On Slide 5, I will briefly touch on the results and highlights of daughter companies. As always, I encourage you to listen to their respective earnings conference calls for more details following this call. Starting with Teekay LNG, our gas business continues to deliver solid performance and strong earnings despite a heavier than normal drydocking schedule during the quarter. The outlook for the LNG shipping market is positive as reflected in the current strong spot and time charter LNG shipping rates, which we believe should provide tailwinds for TGP through a spot market linked charter contract, as well as its upcoming charter renewals in 2022. TGP does however, continue to have 98% of its LNG fleet fixed for the remainder of 2021 and 89% fixed by 2022, which generates a significant amount of stable cash flows with upside from one spot market linked charter contract. Turning to Teekay Tankers. Although the near term outlook is uncertain due to the continued impact of COVID-19, we believe many of the leading indicators for tanker market recovery continue to improve including planned increases and OPEC+ production, declining global oil inventories which are below five year average levels, as well as positive tanker fleet supply fundamentals with heightened scrapping and a very limited amount of new tanker orders. In anticipation of a tanker market recovery, TNK counter-cyclically in chartered three vessels for periods of 18 to 24 months with extension options, which we believe represents an attractive risk reward and has been a profitable lever for us during past tanker market cycles. TNK also has a strong balance sheet with a healthy liquidity position and low financial leverage, which enables us to continue reducing our overall cost of capital by unwinding expensive sale leasebacks and replacing them with lower cost financings. Turning to Slide 6. Teekay Corp. continues to be a level of play on our daughter companies, Teekay LNG and Teekay Tankers and is an attractive and diversified way to participate in the potential share price appreciation of these companies. In addition, as we highlighted earlier, we have now reversed our asset retirement obligation relating to the Banff FPSO, which increased our sum of the parts value by $33 million or $0.33 per share. Looking at the table on this slide, we highlight Teekay Corporation's current sum of the parts of value based on our daughter company ownership and their respective share prices as of yesterday's close, which shows that Teekay Corp.'s share price has 12% upside to its current sum of the parts value. Based on 10% to 20% total share price appreciation, Teekay Corporation's upside to its sum of the parts value is between 34% and 56% based on the closing prices yesterday. In closing, I want to thank our seafarers and onshore colleagues for their continued dedication to providing safe and uninterrupted service to our customers throughout the course of the pandemic. We're not out of the woods yet, but we successfully managed through uniquely challenging circumstances over the last one and a half year and are confident that we are taking all measures to manage through the current situation. In addition, we continue to see a strong correlation between global vaccination programs and the increase in oil demand, which we estimate to be approximately 3% to 4% lower currently compared to pre-pandemic levels. As the world recovers from the pandemic, we expect the demand for oil and gas and related transportation services to gradually return to 2019 levels, which we believe will be positive for core gas and oil shipping businesses and for the Teekay Group overall. With that operator, we're now available to take questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Sandy Burns with Stifel.
Sandy Burns: Hi, good morning, everyone. Just wanted to follow up a little bit just on - like the wind down of the FPSOs. So point A then, when you mentioned that the green recycling costs will be covered by a lump sum payment. Is that the $67 million you got last year or you'll receive another payment to cover those future costs?
Vince Lok: Hi, Sandy. Vince here. No, the $67 million was already received last April, April 2020. So we will be receiving a separate amount in addition to that, when BP redelivers the unit back to us next year. And that amount will cover the green recycling cost that time.
Sandy Burns: Okay. And then for the Hummingbird, I guess maybe you wouldn't have a feel for this yet. But when you eventually do get it back, would there be any material costs associated with that vessel to redeploy it or recycle it or such?
Kenneth Hvid: Yes. We've touched on some of our earlier calls. Hummingbird is smaller and younger unit. But I think as we've all witnessed that the redeployment opportunities for FPSOs are somewhat limited. But it is a unit that theoretically could be redeployed. The costs in connection with the decommissioning is a much more limited scope than what we've seen on both the - especially with Banff, but also even on the Foinaven field, because it is a smaller unit and smaller. So we have some angles that needs to be pulled up. But then it's basically in sailaway-ready condition. So it should be smaller than the other two.
Sandy Burns: Right. So maybe what I'm trying to get at, is at the parent level, really now, your only cash obligations are the interest expense, and whatever corporate expenses that you have up there. There's really no other material obligations you need to have - will require cash or liquidity or anything. Am I thinking about that correctly?
Kenneth Hvid: That's correct. Yes.
Sandy Burns: Okay, great, though. Good job on all that. Thank you. That's all I have.
Kenneth Hvid: Thank you.
Vince Lok: Thanks, Sandy.
Operator: [Operator Instructions] That does conclude today's question-and-answer session. At this time, I will turn the conference back to the company for any additional or closing remarks.
Kenneth Hvid: Thank you for listening in today. I'm sure that many of you will be joining our daughter company calls that follows this call. And we look forward to reporting back to you next quarter. Thank you.
Operator: That does conclude today's conference. We thank you for your participation. You may now disconnect.